Operator: Good afternoon, ladies and gentlemen. My name is Lester, and I will be your conference operator today. At this time, I would like to welcome everyone to Artis Real Estate Investment Trust 2023 Annual Results Conference Call. At this time, I would like to turn the conference over to Heather Nikkel. Please go ahead.
Heather Nikkel: Thank you, operator. Hello and welcome, everyone. Thank you for joining us for Artis REIT's fourth quarter 2023 results conference call. Our results were disseminated yesterday and are available on SEDAR and on our website. With me on today's call is Artis' President and CEO, Samir Manji; CFO, Jaclyn Koenig; COO, Kim Riley; and Executive Vice President, U.S. Region, Phil Martens. As we discuss our performance today, we want to acknowledge that the discussion may include forward-looking statements that involve known and unknown risks and uncertainties. These risks and uncertainties may cause actual results to differ materially from those expressed or implied today. We have identified those factors in our public filings with the securities regulators, and we suggest that you review those filings. In addition, we may refer to non-GAAP and supplementary financial measures that are not defined under IFRS and are not intended to represent financial performance, financial position or cash flows for the period, nor should these measures be viewed as an alternative to net income, cash flow from operations or other measures of financial performance calculated in accordance with IFRS. Throughout this discussion, please note that all figures will be presented in Canadian dollars unless otherwise specified. Before we proceed, I'd like to note that a replay of this conference call will be available until Friday, March 8. You can access it by using the telephone numbers and passcode that were provided in yesterday's press release. Additionally, a recording will be made available on our website. I will now turn the call over to Samir to discuss Artis' fourth quarter results.
Samir Manji: Hello, everyone and thank you for joining Artis' fourth quarter earnings call. We're pleased to report our Q4 2023 results and provide an update on the 2023 fiscal year and our progress thus far in 2024. Throughout the fourth quarter of 2023, the real estate sector continued to face challenges spurred by adverse macroeconomic conditions. We have remained focused on managing factors within our control as we navigate the current environment. In doing so, our primary near-term objective remains clear, reduce leverage and increase liquidity to strengthen our balance sheet. As we continue to work towards this objective, our goal is to position Artis to withstand current and potential future economic headwinds and ultimately deliver long-term value for unitholders. There are several levers available to us to strengthen our balance sheet and enhance liquidity, including asset dispositions, refinancing existing mortgages, securing new mortgage financing and monetizing public security investments. In Q4, we sold two properties for a total of 17 asset sales in 2023, totaling $332 million. In addition, subsequent to December 31, 2023, we sold one industrial, one office and one retail property and have an additional 12 properties under unconditional sale agreements amounting to an addition of $445 million of dispositions. As we have conveyed in prior quarters, the liquidity unlocked from these sales, including the retail portfolio sale will be reallocated primarily towards debt reduction. We are in discussions with potential buyers for additional sales, the proceeds from which will enable us to continue reducing our overall debt and improving financial flexibility, important steps in navigating the current environment marked by rising interest rates, inflation and market volatility. As we have previously disclosed in June last year, we monetized a portion of our equity securities and most notably participated in Dream Office REIT’s substantial issuer bid pursuant to which we sold approximately 2.2 million units for aggregate sale proceeds of nearly $34 million. This capital allocation decision supported our liquidity objectives and building on this, during the third and fourth quarters, we continued to monetize equity securities. Going forward, we will continue to evaluate our public securities from a capital allocation standpoint as we navigate the current environment and prioritize capital allocation opportunities that will maximize net asset value per unit for our owners. With higher interest rates and other macroeconomic factors impacting the real estate sector, we have been working closely with our lenders to manage our upcoming debt maturities. We have $261.4 million of mortgage debt maturing in 2024. We have received term sheets for new or renewed loans for 17% of these maturities have extension options in place for 50% of these maturities and we anticipate no difficulty in managing the remaining 33% of maturities in the normal course. In 2024, both of Artis' non-revolving credit facilities and its revolving credit facility mature. Subsequent to the end of the year, we renewed the $100 million non-revolving credit facility for a two year term, and we are in active discussions with respect to the renewal of the $150 million non-revolving credit facility that expires in July. Looking ahead, securing new mortgage financing and refinancing existing mortgages will continue to be an important tool available to us, especially considering our portfolio's substantial unencumbered asset pool. Through lease and other capital management strategies, we are seeing a reduction in current liabilities on our balance sheet. We're committed to maintaining this positive momentum in the upcoming quarters. Turning to Artis' operational performance, leasing activity remains strong throughout 2023. Occupancy rates including commitments remained consistently near or over 91% during the year. Additionally, lease renewals that commenced during the fourth quarter were negotiated at a weighted average rate increase of 5.8% over expiring rates, continuing a 12 quarter streak of growth in weighted average net rental rates secured upon renewal. Year-over-year same property NOI growth for the three months ended December 31 was strong at 9.2%. These fundamentals are critical measures of our portfolio stability and are reflective of the leasing momentum that has been growing over recent year -- recent quarters, underscoring the foundational strength of our real estate operations. This continued operational strength serves as a signal that Artis' properties are well positioned for sustained positive momentum. Earlier in the year, we completed Park Lucero East and Blaine 35, and during the fourth quarter, we completed construction of our 40 story residential development in Winnipeg 300 Main. Tenants began moving into the first 20 floors on July 1, and lease efforts for the remaining suites is underway. As occupancy grows and the property's NOI rises, we foresee positive impacts on our adjacent office buildings, their tenants and parkades, all thanks to the vibrant live, work and play downtown lifestyle this development brings to the downtown Winnipeg area. With respect to our Cominar investment, our collaboration with our partners is ongoing, advancing us towards our objectives. To date, we have finalized several additional asset sales with additional transactions in the pipeline. Lastly, as many of you know, on August 2, 2023, Artis' Board formed a special committee to initiate a strategic review process to consider and evaluate alternatives that may be available to the REIT to unlock and maximize value for unitholders. The special committee along with its advisors have explored several options, including the potential sale of the REIT. Given the current market conditions, we do not believe that there is a buyer prepared to acquire the REIT at a reasonable value relative to our NAV. However, there remains healthy interest from potential buyers of high quality retail and industrial assets and certain office assets. The special committee and its advisers continued to evaluate options, including the sale of additional properties with a focus on Artis' industrial portfolio in an effort to further deleverage, strengthen the balance sheet, grow NAV per unit and enhance liquidity. We continue to view our normal course issuer bid as effective mechanism for increasing unitholder value and will consider allocating capital to unit buyback using the NCIB if Artis' units remain substantially undervalued relative to its net asset value per unit. The work we have undertaken over the past several months has enabled us to properly assess the current environment and options available to us to maximize value for our unitholders. We will continue with our efforts to strengthen the balance sheet and enhance liquidity. And as our balance sheet and liquidity continue to strengthen, look at capital allocation opportunities that we believe will ultimately grow net asset value per unit, objectives that we have been focused on since 2021. We look forward to providing further updates on the strategic review process in due course. I will now turn it back to the operator to moderate the question-and-answer session.
Operator: [Operator Instructions] Your first question comes from Jonathan Kelcher from TD Cowen.
Jonathan Kelcher: First question just on the ARESF preps. Just doing some math based on the interest you booked or the income you booked on that, it looks to be like a 23% or 24% interest rate based on the Q3 balance versus the 18% original. Can you sort of help me out on what I might be missing here?
Samir Manji: No. Jonathan, your math is correct. The terms of the preps, included the payment or Artis being entitled to an additional 6% for one quarter. There's no assurance that would be recurring. So we did book one quarter of that additional 6% interest and that's how you reconcile your math.
Jonathan Kelcher: So how should I think about that for 2024?
Samir Manji: We would recommend, and I'll pass it over to Jaclyn to comment further if she has anything to add, but we would recommend maintaining, for conservatism purposes, the 18% coupon as the rate to consider.
Jonathan Kelcher: It's not like it's based on a spread or anything to do with the overnight rate?
Samir Manji: No, that's correct.
Jonathan Kelcher: And then just sticking with that those March 1 next year, I guess, you can redeem them. Maybe thoughts on that and what happens or is this income you expect to get -- expect to keep getting?
Samir Manji: Yes. I think it's too early to look out to next March, so likely something for us to comment on as we go further down the road into 2024. But, I can say that there are efforts underway within the ARESF structure to look at other refinancing opportunities that would enable for the repayment of some or all of the outstanding prep balance.
Jonathan Kelcher: And any chance that they -- it starts being cash paying instead of accruing. It's starting to get it to be a pretty big balance?
Samir Manji: That's a fair comment, Jonathan. And I don't think at this point we can accurately predict whether the pick will continue in full or in partial component of satisfying the interest obligation. And so, again, something that we're happy to comment on a quarter-to-quarter basis.
Jonathan Kelcher: Well quarter-to-quarter, so Q1 probably payment in kind?
Samir Manji: Yes. I think it's fair to assume it's payment in kind for Q1.
Jonathan Kelcher: And then just secondly on the mortgages that you have coming due this year, what percent of those are in the U.S. versus Canada? And what sort of spreads are you seeing in each country?
Samir Manji: I'll let Jaclyn look after that question.
Jaclyn Koenig: The maturing mortgages are all U.S. mortgages this year and the spreads vary depending on the property. But we're seeing, somewhere between so far plus somewhere in the range of 1.5-ish, I should say, 1.5 to 2.5-ish.
Jonathan Kelcher: And are any of those non-recourse?
Jaclyn Koenig: No.
Jonathan Kelcher: So all your mortgages are recourse then, correct?
Jaclyn Koenig: Yes. That's correct.
Operator: Your next question comes from Mario Saric from Scotiabank.
Mario Saric: Just one quick clarification on Jonathan's question with respect to the recourse versus non-recourse nature for the direct mortgage in the portfolio, are you saying that all of the assets have recourse debt in the portfolio or just the ones that have debt maturing in '24?
Jaclyn Koenig: All of our mortgages.
Mario Saric: Sticking to the balance sheet and mortgage refi, the floating rate debt exposure is still quite high. Strategically, as you're going through the debt refinancing, are you looking to reduce that as much as possible? Or are you kind of taking the position that you feel comfortable keeping it relatively high going into the expected Fed and Bank of Canada rate cuts presumably later this year?
Samir Manji: I would say, Mario, it's a combination. There is a very clear path in front of us based on, as we've commented the firm disposition transactions that have been confirmed and communicated in our quarterly press release that we should see that overall leverage come down over the course of Q1 and Q2 and hopefully beyond with other transactions in the pipeline. Having said that, I think you, like, most in the financial community know that there is a reasonable expectation of rate cuts over the course of 2024. And the fact that we will continue to have a component of our debt as floating rate, we should benefit from that through lower interest costs as those rate cuts take will come to fruition.
Mario Saric: And then my last question just pertains more of a technical one, pertains to 300 Main. I just wanted to -- I may have missed it, but I just wanted to know what the NOI and FFO contribution during the quarter was relative to your expected stabilized like quarterly FFO contribution from the asset?
Jaclyn Koenig: We'll have to look into what the contribution was for the quarter and circle back with you.
Operator: Your next question comes from Jimmy Shan from RBC Capital Markets.
Jimmy Shan: Just a follow-up on the 300 Main. What would do you think would be the stabilized NOI then on 300 Main? Because it seems like it would be a pretty material number. And I guess where is the occupancy approximately, where does it sit today?
Jaclyn Koenig: Sure. I can take that one as well. So stabilized NOI, we expect to be around $10 million. And right now, we've only released the bottom half of the tower to the market, so that's around 200 suites. And we're sitting just below 70% occupancy. The balance of the suites we expect to release, within the coming months and then, continue to lease up over the summer.
Jimmy Shan: And then this NOI is sitting in retail category, correct?
Jaclyn Koenig: Yes.
Jimmy Shan: If I look at quarter Q4 versus Q3, I don't really see that much movement in the retail NOI. So I guess it's safe to assume. I know you're going to get us the precise number, but it's probably not material in the quarter?
Jaclyn Koenig: Yes. That's safe to assume. Given where we are in terms of releasing the suites to the market and current lease up, the impact this quarter will be not material but going forward should be significantly more.
Jimmy Shan: And then on the equity securities, do you still hold both securities post the sale that happened after the quarter?
Samir Manji: We do.
Jimmy Shan: And then I noticed that you also bought some securities. Would this be a new position or would this be an existing position of those two securities?
Samir Manji: It's not a new position.
Jimmy Shan: I guess last question for me would be just on the distribution. You kept it unchanged. The payout ratio is ticking up above 100%. I just wanted to know sort of re-updated thoughts of the board in terms of making that decision.
Samir Manji: As we've conveyed in the press release, the board has maintained the distributions at this point in time. I can tell you that there is a clear commitment and one of the medium to longer term objectives for Artis as we right size our balance sheet, strengthen our liquidity is to begin to reallocate capital, so as to grow FFO and AFFO and through that hopefully see the payout ratio come down.
Jimmy Shan: On the 300 Main, so there's a mortgage on that? I'm just trying to think about the FFO impact for '24 on that property?
Jaclyn Koenig: That's correct. There is a mortgage on the property.
Jimmy Shan: So that, what would be the size of that mortgage?
Jaclyn Koenig: I believe right now it's sitting around $175 million.
Samir Manji: But to be clear, Jimmy, that mortgage is not limited to 300 Main. That mortgage from a security perspective covers multiple components of the overall mixed use project we have on that site.
Jimmy Shan: I guess it'd be helpful to know just for modeling, what the ultimate FFO impact would be once it's stabilized. So we know what the NOI is going to be able to be. I'm just trying to think through again the actual impact.
Samir Manji: Why don't, we have our team come back to you, Mario and Jonathan with that additional visibility, once we just confirm some numbers on our end, if that's okay.
Operator: [Operator Instructions] There are no further questions at this time. Heather, please proceed with the closing remarks.
Heather Nikkel: Thank you, operator. That concludes our Q4 results call. We appreciate you taking the time to join us today and hope that you enjoy the rest of your day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect.